Operator: Greetings and welcome to the Leggett & Platt fourth quarter 2010 earnings. At this time all participants are in a listen only mode. A question and answer session will follow the formal presentation. If anyone should require operator assistance during the conference please press star, 0 on your telephone keypad. As a reminder this conference is being recorded. It is now my pleasure to introduce your host David DeSonier, Vice President, Strategy and Investor Relations for Leggett & Platt. Thank you Mr. DeSonier. You may begin.
David DeSonier: Good morning and thank you for taking part in Leggett & Platt’s fourth quarter conference call. I’m Dave DeSonier and with me today are the following - Dave Haffner, our CEO and President, Karl Glassman, our Chief Operating Officer, Matt Flanigan, our CFO, and Susan McCoy, our Director of Investor Relations. The agenda for the call this morning is as follows. Dave Haffner will start with a summary of the major statements we made in yesterday's press release, Karl will provide operating highlights, Dave will then address our outlook for 2011 and finally the group will answer any questions you have. I’ll mention to you that during the Q&A Dave Haffner will direct the questions. We’re all located in different sites today due to the weather. We have about 20 inches of snow and many of us are still at home trying to dig out of our neighborhoods. This conference is being recorded for Leggett & Platt and is copyrighted material. This call may not be transcribed, recorded, or broadcast without our express permission. A replay is available from the IR portion of Leggett's Web site. We've posted to the IR portion of the web site a set of PowerPoint slides that contains summary financial information. Those slides supplement the information we discuss on this call including non-GAAP reconciliation. I need to remind you that remarks today concerning future expectations, events, objectives, strategies, trends or results constitute forward-looking statements. Actual results or events may differ materially due to a number of risks and uncertainties and the company undertakes no obligation to update or revise these statements. For a summary of these risk factors and additional information please refer to yesterday's press release and the section in our 10-K entitled Forward-Looking Statements. I'll now turn the call over to Dave Haffner.
Dave Haffner: Good morning from sunny Missouri and thank you for participating in our call. Yesterday we reported fourth quarter and full year results. For the quarter sales increased 4% compared to the prior year primarily reflecting growth in unit volumes in the specialized products and industrial materials segments. Earnings per share for the quarter were 21 cents versus 26 cents for the same quarter last year. The earnings benefit from higher unit volumes and a lower effective tax rate were offset by a net change in LIFO impact and higher raw material costs. In the fourth quarter of 2009 we recognized a LIFO benefit of $15 million. As anticipated, that benefit did not recur this year. Instead in the fourth quarter of 2010 we incurred LIFO expense of $5 million for a year over year net change of $20 million. In late 2010 steel costs began increasing again. These increases along with higher than anticipated LIFO expense led to 150-200 basis points of margin compression in the fourth quarter. We have announced price increases in our major steel consuming businesses to recover the higher costs. These increases vary in magnitude depending upon the product category and are being implemented during the first quarter of 2011. Because of the lag in cost recovery our first quarter margins will likely be under pressure. But we expect margins to normalize by the second quarter. For the full year 2010 we’re pleased with the improvements we posted in both sales and earnings per share we achieved full year results at or above the high end of guidance issued at the start of the year. Sales grew 10% to $3.36 billion. Demand improved in many of our markets during the year. The automotive and office furniture markets experienced significant growth from very depressed demand levels in 2009. Retail fixture demand was also reasonably strong. Our residential bedding and furniture markets started 2010 strong but weakened in the last half of the year as consumer spending on larger ticket items slowed. Activities completed over the past few years including the divestiture of businesses under our strategic plan, closure of certain underperforming and under utilized facilities, elimination of sales with unacceptable margins and other cost reduction initiatives improved our cost position and enabled earnings to benefit notably from the higher volume. Full year earnings increased to $1.15 per share, which is a 64% improvement versus the 70 cents per share reported in 2009. During 2010 we completed the sale of the seventh and final divestiture identified as a part of our strategic realignment. The seven divestitures collectively generated $433 million of after tax cash proceeds over the past three years, exceeding our original $400 million goal. Our focus on optimizing returns was reflected throughout 2010 in part through the lower level of working capital that was maintained as sales began to recover. We ended the year with working capital at 14.1% of annualized sales. For the year we generated operating cash of $363 million, which significantly exceeded the 223 million required to fund capital expenditures and dividends. In August we raised the quarterly dividend to 27 cents per share and extended to 39 years our record of consecutive annual dividend increases. At yesterday’s closing price of $22.96 the current dividend yield is 4.7%. As planned, much of the excess operating cash was used to repurchase 6.2 million shares of our stock during 2010. Our financial profile remains strong. We ended 2010 with net debt to net capital at 23.3%, well below our long term targeted range of 30-40%. No significant fixed term debt maturing until 2013 and over $500 million available under our existing bank facility. We continue to assess our overall performance by comparing our total shareholder return on a rolling three-year basis to that of peer companies. We target TSR in the top 1/3 of the S&P 500 over the long term, which we believe will require an average TSR of 12-15% per year. For the three years ended December 31, 2010 we generated TSR of 16% per year on average, which ranks among the top 8% of the companies in the S&P 500 Index. And with those comments I’ll turn the call over to Karl Glassman who will provide some operating highlights. Karl.
Karl Glassman: Thank you Dave. Good morning. In my comments I will discuss a few segment highlights. You will find segment details in yesterday’s press release and in the slide presentation on our Web site. As Dave mentioned, our residential bedding and furniture markets started 2010 strong but weakened in the last half of the year as consumer spending on larger ticket items slowed. Fourth quarter sales in the residential furnishings segment decreased slightly versus the prior year. Steel related price inflation from price increases implemented earlier in 2010 was more than offset by unit volume declines in several key businesses. In our US frame business inner spring unit volumes decreased 5% in the fourth quarter and box spring units were flat. Unit volumes also declined versus the prior year in our international spring, fabric converting and carpet underlay businesses. In our furniture hardware business the unit volume increased slightly in the fourth quarter. The majority of the full year revenue growth that we experienced in the residential furnishings segment is attributable to our furniture components business. This growth is primarily due to market share gains, a well established international presence and ongoing strength in motion upholstery as consumers continue to favor seating with added functionality and comfort. Lower unit volumes and higher raw material costs led to a decrease in the segment’s fourth quarter EBIT and EBIT margins versus the prior year. We have recently announced price increases in our major steel consuming businesses including bedding and furniture components to recover the higher raw material costs. The selling price increases vary by product line ranging from approximately l8% in bedding components to 12% in furniture hardware. We have also announced price increases in our fabric converting and carpet underlay businesses to recover recent inflation in the cost of fabrics and chrome scrap. All of the announced selling price increases will be implemented during the first quarter of 2011. Current demand in our residential end markets remains well below historical levels. This presents a notable opportunity for both sales and earnings growth over the next few years as those markets recover. We believe our residential end markets have stabilized and while recovery may continue to be choppy, we are expecting modest overall demand improvements in these markets during 2011. In the commercial fixturing and component segment fourth quarter sales grew slightly. We continue to see convincing signs of improvement in the office furniture industry. Fourth quarter sales in our office components business grew approximately 20%, reflecting both market recovery and new programs that we have been awarded. This was the third consecutive quarter that we experienced strong growth in this business. Sales in our fixture and display business decreased approximately 10% during the fourth quarter versus fourth quarter of 2009. Our prior year comps were difficult due to a high level of late year activity in 2009 by some of our large customers. For the full year 2010 sales in our store fixtures and display business grew approximately 5%. Seasonality of this business changed in 2010 with volume in the first three quarters of the year roughly proportional as retailers increased remodeling activity and reduced new store construction. We expect similar seasonality in 2011. EBIT and EBIT margins in the commercial fixturing and component segment decreased versus fourth quarter of 2009. The benefit from sales growth and office components was offset by restructuring related costs associated with the closure of our wood store fixtures operation. Fourth quarter sales in our industrial materials segment increased 8%. Growth from higher unit volumes and steel related price inflation was partially offset by a small divestiture. EBIT and EBIT margins decreased versus fourth quarter of 2009 as higher unit volumes were offset by the absence of EBIT associated with a small divestiture and lower metal margins in the steel industry that reduced the profitability of our steel rod mill. Price increases have recently been announced and implemented in our rod and wire drawing operations in response to the escalation in steel scrap cost. In our specialized product segment we posted 17% sales growth in the fourth quarter from continued strength in global automotive demand. We also experienced sales growth in commercial vehicle products during the quarter. Automotive industry forecasts continue to anticipate meaningful global production growth in 2011. With those comments I’ll turn the call back over to Dave.
Dave Haffner: Thank you Karl. Over the last three years we significantly reduced our fixed cost structure but have retained spare production capacity so that we can accommodate additional sales without the need for large capital investments. As a result, we have meaningful operating leverage that should benefit earnings as sales increase. For 2011 we expect sales of approximately $3.4-3.6 billion, reflecting our belief that the economy will continue to improve modestly. Based on this sales expectation and considering other uncertainties including inflation and steel costs, we project 2011 earnings to be between $1.20-1.40 per share. Cash from operations should exceed $300 million again in 2011. Capital expenditures are expected to be about $85 million and dividend payments should approximate $155 million. For the full year we anticipate purchasing up to 10 million shares of our stock and issuing approximately 3 million shares. We have a standing authorization from the board to repurchase up to 10 million shares each year but we have no specific repurchase commitment or time table associated with that authorization. While challenges continue in certain areas of our business, we are addressing those. We are pleased with many of the business units and their continued progress. We would like to extend our sincere appreciation to our customers for their ongoing support. We remain committed to working together with you for our mutual long-term prosperity. We would also like to thank our employee partners, the men and women whose hard work has contributed to the past year’s progress and helped position Leggett for long-term success. And with those comments I’ll turn the call back over to Dave DeSonier. Dave.
David DeSonier: That concludes our prepared remarks. We thank you for your attention and we will be glad to answer your questions. In order to allow everyone an opportunity to participate we request that you ask your single best question and then voluntarily yield to the next participant. If you have additional questions please reenter the queue and we’ll answer all the questions you have. Diego, we are ready to begin the Q&A. 
Operator: Thank you sir. We will now conduct the question and answer session. If you would like to ask a question please press star, 1 on your telephone keypad. A confirmation tone will indicate that your line is in the question queue. You may press star, 2 if you would like to remove your question from the queue. For participants using speaker equipment it may be necessary to pick up your handset before pressing the star keys. Our first question comes from John Baugh with Stifel Nicolaus. Please ask your question.
John Baugh: Good morning and I hope you stay warm and safe. Just quickly, there was if I’m not mistaken no guidance for Q1. Is that just because of with the LIFO being so wild it’s really not worth focusing on and it’ll smooth out for the rest of the year? Or is there some other reason?
Dave Haffner: John, this is Dave. We didn’t give guidance for the quarter because a couple of years ago we chose to go to annual guidance. So there was never an intention to give guidance for the quarter.
John Baugh: And how do we think about the comment that there will be margin pressure related to the timing of the steel versus getting the pricing?
Dave Haffner: We’re in one of those periods, one of those temporary what I call lag periods where our costs of raw materials have come up faster than we had anticipated. And we can’t overnight give price increases to our customers. I guess in theory we 7could because of the pricing position that we have. But that’s not ever been our history. So we give our customers adequate notice, allow them to accommodate for their various repricing and markets. So John, it’s likely that we will see margin compression in this first quarter. But we took that into consideration for the annual guidance. Karl, you want to add anything to that?
Karl Glassman: No. I would agree with that. The other thing John you’ll remember is that we’re up against some pretty difficult comps at least in the first half. So we’re trying to deal with that. At the same time that our customers, you heard much of this at the Las Vegas market last week - our customers are very, very optimistic about the full year but have some near term concerns as it relates to weather. This week certainly isn’t helping much of the country. And then the fact that the income tax refunds are delayed anywhere from two to four weeks and in the residential furnishings part of our business there is an element at price points that is very sensitive to the receipt of those refunds. So that may delay some purchasing ability into the latter part of the first quarter. But the significant issue truly is this lag of recovering raw material inflation magnified by the fact that we don’t know that we have topped out on steel pricing. So the scrap inflation certainly was significant in December and January. WE think that there may be a continuation of that, which we have warned our customers that the increases that we have announced to date may in fact not be the last. So we are fearful of that type of inflationary run again.
John Baugh: Okay. And then two other real quick ones - number one on the 5% unit decline in inner spring in Q4 could you comment on the customers you lost earlier in the year and then regained, what influence that had on the number? And then relate that number to what you think the industry did. And then secondly, is Sealy’s new launch of Posturepedic, I know you aren’t vertical with them on a lot of their inner spring business. But does that influence your business with them in any particular way? Thank you.
David DeSonier: Okay. Thanks John.
Dave Haffner: Karl, go ahead.
Karl Glassman: Yeah. As we spoke on the third quarter call, we had lost temporarily a little bit of inner spring business to some low pricing that was coming out of Europe at that time and it was due to the fact that US steel inflation in the early half of last year just came earlier than the inflation in Europe magnified by a very low currency euro/dollar exchange rate. We have regained much of that business as we speak. But John’s point is valid in the fourth quarter demand of US inner spring units was impacted. The units were down from a trend standpoint in October about 6%. November was worse, about eight off but those of you that look at the ISPA statistics will remember that the ISPA report for November was particularly soft. And then in December we had recovered to the point that we were about flat. As we speak today, January was flat through the first three shipping weeks. Last week we were up about 15%. We believe most of that was weather related so we have regained most of that business. As it relates to the industry, our box springs as we commented in the fourth quarter were flat. We expect or we believe that our box spring sell through data is more tightly correlated to industry demand than any other statistic that we see including the ISPA numbers. They also correlate to some reports from some publicly held companies previous to ours. So we think the industry was flattish 4Q. We think we’ve recovered the vast majority of that lost volume. Box springs by the way through the first three shipping weeks of January were up about 1% so you can see that connectivity between inner spring and box spring sell through has narrowed to its normal point. As it relates to Sealy, Sealy did have a re-launch of the Posturepedic line, the first time in three years. And we are backwardly integrated with Sealy from the standpoint that all of their box springs are ours and about 2/3 of their wire are ours. So to the degree that they do experience some success in that line, we’ll benefit from that. Also at the Las Vegas market Serta introduced the new Perfect Sleeper offering and did a fantastic job of that introduction also. 100% of that componentry is ours and that product is positioned at some real velocity price points. So good value for the consumer in both those manufacturers’ offerings. We expect that the retailers will promote heavily both off the introduction of those new lines and expect some really good things as the year progresses.
John Baugh: Thank you.
David DeSonier: Thanks John.
Operator: Our next question comes from Budd Bugatch with Raymond James. Please state your question.
Budd Bugatch: Good morning everyone and my wishes too for keeping safe and warm during the weather challenges of the week and the month too. A couple things - one, share repurchases look like you have assumed an acceleration from about 6 million I think this year to up to 10 million in 2011. Can you talk a little bit about your view on that?
Dave Haffner: Yeah. Budd, this is Dave and Matt or Karl, if you want to chime in too please do so. But we still see our shares as a pretty compelling opportunity to invest our shareholders’ money. The reason we have said up to 10 million, which is our authorization and said that we don’t have any defined plan be it accelerated or other defined plan, is that we’re hoping that we’ll get an opportunity to spend some money this year on some good acquisitions. And so the timing of those share repurchases will be maybe a little less definable than we have had in the past. And yet we feel good about that investment. We think that the authorization is one that we’ll probably take full or near full advantage of.
Budd Bugatch: Secondly, you also indicated I think $85 million in capital expenditures this year versus I think you spent 68 last. What’s the acceleration represent?
Dave Haffner: I think Karl is going crazy with his capital spending but I’ll let him comment on that.
Karl Glassman: Budd, what we’re seeing is some larger projects. We are in the process of building in addition to our spring plant in Croatia, it’s a low cost facility that services Europe. So we’ll incur some monies there in 1Q. Also we’re in the process of doing some retrofits to the Sterling steel mill. We will keep our people safe there. And as you’ll remember that we purchased that asset out of bankruptcy in 2002 and it has continual capital needs. So as you know, the capital spending forecast is up slightly, still significantly below depreciation and amortization and that is just a sign that there are some particular specific projects that are reasonably large and have their own imputed returns that are certainly satisfactory or Dave wouldn’t have let me go wild.
Dave Haffner: Yeah. And also just because we put it into our forecast doesn’t mean that we have to spend it. As you know Budd, we’ll spend what we feel we need to spend to protect the shareholders and our employees.
Budd Bugatch: But there is not any built in expansion other than the Croatian expansion in the forecast of CapEx?
Dave Haffner: Yeah. No production expansion per se. That’s correct.
Karl Glassman: That’s correct.
Budd Bugatch: Okay. Let me go lastly to a larger question just on a couple of years ago we talked about getting to $2 a share, talked about getting to 50% or so dividend to payout ratio. I thought we were supposed to end this year with an operating margin of about 10%. How delayed are we in that now? And what do you do to power your way through the ties to the economy that Leggett has and has historically had to kind of get beyond the shackles of where you’ve been in terms of earnings performance over the last couple of years.
Dave Haffner: Yeah, Budd, very good question. We still - you’ve seen some of the models that we’ve put together. We still feel comfortable that we’ll get to that $2 per share earnings. It’s going to take top line. Don’t know exactly - is it 2012 now that we get there? Don’t really know. But a combination of that top line as well as continued share repurchase of course aids significantly. The margin contribution to that plan is very important too. We continue to see progression on our annualized margins and I think that we will ultimately get to those goals that we established. But again, it’s going to be a function of capacity utilization to get there. So I don’t know exactly when it will happen. Is it going to be 2012? Don’t know for sure. One other thing that becomes very important is the product proliferation as we develop new products either that take the place of existing products. We need to do so with a mindset to improve our margins in the process. And then also like we have spoken before, the implementation of brand new products new to Leggett with margins that are above average will certainly assist in that pursuit. Again, disappointed that we haven’t seen a little more aggressive progression but it’s primarily top line oriented and we’re waiting for that to improve significantly more than it already has.
Budd Bugatch: And just finally, you did spend about $4 million in the fourth quarter on acquisitions. I know that’s a very small amount. You talked about some more aggressive acquisitions this year. Can you either talk about what you did in the fourth quarter and what you may see on the plate?
Dave Haffner: Yeah. I’ll let Karl or Matt or Dave talk about what we did in the quarter and then I’ll talk a little bit more about going forward.
Karl Glassman: Really Budd, what that was is we bought out the remainder of one of our joint venture partners in the automotive supply business in one of the Asian operations. So we had owned 80% of that firm and bought the remainder.
Dave Haffner: Yeah. That was like I said, small but very strategic in nature. Going forward Budd, we decided we’re never totally satisfied with our performance at any point but we’ve decided that we should really now enter the growth phase of our overall strategy plan. And as you know, part of that growth phase has to do with getting back into the acquisition saddle but in a way that we’re very comfortable with. So in conjunction with the M&A department, Karl, Matt, Dave and the various segment heads we’ve established acquisition criteria for each one of the segments and indeed the business groups. Those criteria have been submitted to an outside agency that will assist us in finding fits for those types of potential acquisitions. And so we’re starting to see a little acquisition dust in the air and that’s a good thing for us.
Budd Bugatch: Okay. Thank you very much.
Operator: Thank you. Our next question comes from Mark Rupe with Longbow Research. Please state your question.
Andy White: Hi guys. This is actually Andy in for Mark. Just a quick follow up to Budd’s question on CapEx, do you view that sort of roughly $85 million target as sort of sustainable going forward? Do you expect to see any further acceleration beyond 2011? How do you think about that?
Karl Glassman: Andy, the way that we look at that and Dave’s reminder is valid in that when we started 2010 we forecasted capital spending of 80 million and under spent it. So it’s just trying to give ourselves a little bit of running room. It’s difficult to plan especially on the maintenance side of things. But in terms of the next few years, that 85 million is probably a good number because of the existing capacity that we have in our operations. As we said in the conference call script, we believe we can pass through about $4 billion of demand with the capital that we have in place all the while continuing obviously to maintain the mechanical and the structural side of our investment. So absent a significant increase in demand that’s a good plan. Might range up to 100 million as we move into the 3.8 billion of sales but who knows?
Dave Haffner: Yeah. That’s the point I was going to make Karl is I really can’t wait to justify spending more than that because that will require additional production capacity.
Andy White: Okay. And then on your office furniture side, could you give us a sense of how demand tracks through the quarter? Did you see any deceleration in the year over year trend as you got further into the quarter? Was it pretty consistent? What did you see there?
Karl Glassman: Andy, it was very, very consistent. That office for the last three quarters has been really strong and while I went through that explanation about difficult comps in first Q I will quickly admit that the first Q comp in office is relatively easy in that strength was really back half or back three quarters oriented. But it was strong, is strong and we don’t see any slow down.
Andy White: Okay. And then in the bedding maybe just give us sort of broad strokes in your outlook for 2011 in terms of maybe units and dollars.
Karl Glassman: We would expect units in that 3-4% range, slightly over GDP as we start to recover. And I would say that that expectation holds true for most of our home furnishings business. We expect near term demand because of an element of pent up demand. And we think that’s relatively conservative, the 3-4. It’s very highly correlated to consumer confidence.
Andy White: Okay. Great. Thanks a lot guys. That’s all for me. Good luck.
Karl Glassman: Thank you.
Operator: Our next question comes from Keith Hughes with SunTrust. Please state your question.
Keith Hughes: Thank you. In your guidance what kind of LIFO reserve hit are you expecting for the year?
Matt Flanigan: Keith, this is Matt. We’re assuming it is flat for the year, that there won’t be any movement up or down. Obliviously we know that will be wrong but for purposes of our guidance we assumed that it would be when it’s all said and done flat here in terms of LIFO.
Keith Hughes: Okay. So that would probably work out, it would be a negative in the first half and a positive in the second half?
Matt Flanigan: That would be a good prediction. Just as we said here today but in essence the answer to your question is for the full year we assume it is no impact when it’s all said and done.
Keith Hughes: Okay. And Karl, I just want to clarify your comments on some of the bedding demand. You had talked about being flat in the fourth quarter up until the end of the quarter I believe? Or could you just explain that again?
Karl Glassman: Yeah. No, I went through it pretty quick Keith, I apologize. No, we actually saw that we were flat in December. So the quarter as it progressed, the demand - it’s hard for me to say good - became less bad.
Keith Hughes: Right.
Karl Glassman: So October was down in that 6% range and this is inner spring units. November we saw some softness and that was actually reflected in the published ISPA data for that month and we saw about an 8% reduction. December itself was flat bringing the quarter inner spring units to a negative five while box springs were flat through the quarter.
Keith Hughes: And you said January started off flat and then you had a tough week a week ago with the weather, correct?
Karl Glassman: Exactly right.
Keith Hughes: Okay. And if you look at the ISPA numbers for the quarter it’s up a couple points in units. Is the difference between your results and that what’s going on at the very low end of the mattress market?
Karl Glassman: No. I would say the real difference is that our box spring numbers as I said for the fourth quarter were flat. I believe that the market was flat, the whole market was flat in the fourth quarter on bedding demand. Remember the ISPA statistics just cover 64% of the total market, so generally the really all the alternative sleep guys and the large conventional players. So we still believe that in this economy with the big guys trading down that there was some cannibalization of the big to the smaller customers.
Keith Hughes: Okay. Thank you.
Karl Glassman: You’re welcome.
Operator: Our next question comes from Robert Kelly with Sidoti & Company. Please state your question.
Robert Kelly: Good morning. Thank you. As far as the 2011 sales outlook, you talked about the price increases that you’re attempting to get. Does that include a couple percent of price, the sales outlook?
Karl Glassman: Rob, no. That sales increase, call it 4% at the midpoint roughly, we expect that to be units. There will be inflation on top of that. We don’t know as we sit here today what the back half will bring in terms of inflation/deflation. Most of the inflation is being driven by cost of steel or steel related items though we left ourselves kind of some running room. So inflation should layer on top of that. And I’ll just remind you and I know you know this, that we won’t have the same contribution margin on those incremental sales as we would on the unit driven sales that is the core of our sales guidance.
Robert Kelly: Understood. Now as far as your segment margins, you actually do a little bit better if prices are rising or if you get the price increases right but it kind of washes out with LIFO. Is that the right way to think about the segment margins?
Karl Glassman: That is the right way to think about it.
Dave Haffner: That’s accurate.
Robert Kelly: So assuming inflation calms down by the second half of the year, should we also expect a beneficial impact to margins assuming price increases stick for 2011?
Karl Glassman: It would not be negative to us.
Robert Kelly: Okay. Great. And then if you all are right about you talk about your customers being optimistic about the full year and say you’re right about the 4% volume increase for 2011. Hopefully you’re conservative but say that we hit that, how far - how much more would we have to recover to get back to what you guys see as the bogey for the $2 kind of earnings potential number, the 50% dividend, all the sort of long term goals you laid out?
Dave Haffner: I don’t have my data in front of me but it would be the difference between that roughly 3.5 billion in sales and about a little over 4 billion in sales. And I don’t know what that - and that assumes the same product mix, Bob.
Robert Kelly: Maybe asking another way, the 4 billion in sales, does that assume that you get back to 2008 volume, 2005 volume? How do you think about what level of volume you need to get back to to kind of hit your longer term goals?
Karl Glassman: 2007 - from a unit run rate perspective that was all kind of calculated based on 2007 demand.
Robert Kelly: Okay. Thanks guys.
Karl Glassman: You’re welcome.
Operator: Thank you. Our next question comes from Joel Havard with Hilliard Lyons. Please state your question.
Joel Havard: Thanks. Good morning everybody. My question sort of anticipated the previous one as well, David. I’m going to try and ask it a little bit different way. Is 4 billion then where your current capacity can be bricks and mortar presumed no acquisitions, etcetera? I’m getting to capacity utilization now.
Dave Haffner: Yeah. Joel, if we didn’t have any significant product mix we could go up to a little north of 4 billion, say 4.1, maybe even 4.2 depending upon what transfer prices are at that particular point in time. But until we get to that circa $4, 4.1 billion, we won’t optimize some of our margins.
Joel Havard: Okay. And to make sure I’m understanding, the 4-ish is your current production capacity, let’s call it name plate or whatever - but that’s (it).
Dave Haffner: Yeah. Karl’s got the - I don’t have it in front of me because I’m stranded here at my home office. Our capacity utilization chart is sitting on my desk in the office.
Karl Glassman: Yeah. In the 4Q total company, we were only about 53% utilized Joel.
Joel Havard: There we go. All right.
Karl Glassman: So yeah, that gets to the crux of it. We need to be somewhat north of 4 billion to get our capital in top line demand to get our capacity utilization in that 80-85% range. That’s the sweet spot.
Joel Havard: All right. That’s what I was getting at. All right guys, that was my one question. You guys pace yourselves on those snow shovels.
Matt Flanigan: Hey Joel, this is Matt. I’ll just add one other because it’s a hot topic here in the last several questions and that is if you think about our incremental margin, which we’ve used as a frame of reference, which is 30%, for each 100 million increase in sales unit driven mind you, that should bring about $30 million give or take in EBIT. And if you do the math at an EPS level, that’s adding between 12 or 13 cents of earnings per share not bearing in mind share contraction if that continues to take place and product mix assumes it’s basically where it is right now. So the gearing on every 100 million increase in sales should be all things else being relatively stable, somewhere in that 12-13% range. I would also quickly add and I know Dave and Karl would as well, is some of our businesses our incremental margin would be better than 30% and some wouldn’t be quite as good as 30%. So but again, as a rule of thumb for many of you asking that sort of question, that might be helpful.
Joel Havard: That’s perfect Matt. Thanks guys.
Operator: Our next question comes from Herbert Hardt with Monness, Crespi & Hardt. Please state your question.
Herbert Hardt: Good morning. Can you give us some idea how difficult it was to implement price increases? Was it accepted fairly easily or a lot of resistance or people understand?
Dave Haffner: Karl, I’ll let you respond to that.
Karl Glassman: Herb, they’re difficult conversations but we have been very consistent in the methodology that we implement price increases over the years. Our customers do a good job of understanding the indexes. We had warned most of our steel related customers 60 days before the announcement of the increase. The increase usually goes into place 30-45 days from the date of announcement. So I don’t want to characterize the conversations as easy. But they’re certainly clearly understood by our customer base. Our position in the market has been a long one. We’ve been consistent and fair in our dealings. So they weren’t traumatic. I will say at the Las Vegas furniture market last week, a lot of those conversations face to face with customers and they clearly understood. I’m not going to say they were appreciative but they clearly understood our position. And they generally are optimistic enough about demand going forward that it truly was not a significant issue.
Herbert Hardt: Okay. Thank you.
Karl Glassman: You’re welcome.
Operator: Our next question comes from Karen Lamark with Federated Investors. Please state your question.
Karen Lamark: Good morning. I’ve got a few. You noted that you ended the year at pretty low working capital levels, about 14% of sales. What are your expectations for 2011 given raw material inflation and your outlook for some economic improvement and presumably some demand?
Karl Glassman: Karen, this is Karl. Again, we believe that 14-15% range is what you as an investor should hold us accountable for. It is a challenge in a very quick, highly inflationary environment to stay at that level but we have invested a lot of money and time and effort in systems that will allow us to keep at that relatively low working capital level and that’s what we hold ourselves accountable for. Now I’m not going to say it won’t spike at quarters but over a long haul that 14-15% range is where we should live.
Karen Lamark: Okay. And then separately with respect to CapEx, has there been any deferred maintenance over the last couple of years and therefore the need to catch up? Maybe you can talk about what maintenance capital was for 2010 and what your outlook is going forward.
Karl Glassman: It ran about 30%, which has been consistent over the last five years. It’s a number that we track regularly at least quarterly and there is virtually no deferred maintenance.
Karen Lamark: Okay. And then lastly, I don’t know if this occurs in your businesses but I’m just wondering in light of the price hikes that you’ve announced, are there any businesses in which you have seen or you anticipate some demand pull forward?
Karl Glassman: It will be temporary. Generally the industries that we serve are very working capital efficient. Our customers don’t have long inventories nor do they have the physical space to take long inventories. So they probably will be temporary pull forward but it won’t be anything of magnitude, maybe a week or two of demand sort of thing but nothing real significant.
Karen Lamark: Great. Thanks for your help.
Karl Glassman: You’re welcome.
Operator: Thank you. Our next question comes from Robin Braudy with Waterfront Capital Partners. Please state your question.
Robin Braudy: Hey guys. How are you doing? Just curious when you think about the revenue guidance for 2011, how much of that is price versus unit growth when you think - just because you guys have been asked in price increases in a bunch of your segments?
Dave Haffner: Yeah. Robin, Karl started to address that. I’ll let him articulate it again.
Karl Glassman: Our guidance anticipates Robin, that we expect real unit growth of that about 4%, which is the midpoint of our guidance.
Robin Braudy: Okay.
Karl Glassman: So admittedly you should have an expectation of selling price inflation on top of that not incorporated in our guidance because we just don’t have a lot of visibility.
Robin Braudy: Okay. Thank you.
Karl Glassman: You’re welcome.
Operator: Thank you. If you’d like to ask a question at this time please press star, 1 on your telephone keypad. We’ll pause for a few moments to see if there are any additional questions. Thank you. There appear to be no further questions at this time. I’ll turn the conference back over to management for closing remarks. Thank you.
David DeSonier: We’ll just say thank you and hopefully next quarter we won’t see quite as much snow.
Dave Haffner: Yeah. And Dave, I’d like to just mention to everybody, not just our employees but everybody that may be in a challenged position with this weather, as Joel mentioned, be careful as you deal with it. We’ll try to get to as many of you as we can as quickly as we can. So just be careful.
David DeSonier: That’s it. Thanks. 
Operator: Thank you. This concludes today’s conference. All parties may disconnect now.